Operator: Good day, and thank you for standing by. Welcome to the Olink Proteomics First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session Please be advised that today's conference may be recorded.  I would now like to hand the conference over to your host today, Jan Medina, Vice President, Investor Relations and Capital Markets. Please go ahead.
Jan Medina: Thanks, Michelle, and good morning, everyone. Thank you all for joining today's conference call. On the call from Olink, we have Jon Heimer, Chief Executive Officer; and Oskar Hjelm, Chief Financial Officer. Earlier today, Olink released financial results for the first quarter ended March 31, 2022, and a copy of the press release and an updated corporate presentation are available on the company's website. Before we begin, I'd like to remind you that management will make statements during this call that include forward-looking statements within the meaning of the U.S. federal securities laws, which remain pursuant to the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Any statements contained in this call that relate to expectations or predictions of future events, results or performance are forward-looking statements. Actual results may differ materially from those expressed or implied in the forward-looking statements due to a variety of factors. For a list and description of the risks and uncertainties associated with Olink's business, please refer to the Risk Factors section on Form 20-F, commission file number 001-40277 filed with the U.S. Securities and Exchange Commission on March 17, 2022, and in our other filings with the SEC. We urge you to consider these factors and you should be aware that these statements should be considered estimates only and are not a guarantee of future performance. Also in our remarks or responses to questions, management may mention some non-IFRS financial measures. Reconciliations of adjusted gross profit and EBITDA and certain other non-IFRS financial measures to the most directly comparable IFRS measures are available in the most recent earnings press release available on the company's website. This conference call contains time-sensitive information and is accurate only as of the live broadcast today, May 12, 2022. Olink disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise, except as required by law. And with that, I will turn the call over to Jon. Jon?
Jon Heimer: Great. Thank you, Jan. Good morning, everyone, and thank you for joining Olink's first quarter 2022 Earnings Call. First, I'll begin by saying that in these difficult times, our minds and hearts remain with those impacted by the war in Ukraine. The Olink community has contributed in its own modest way to release efforts in the hope of improving situation, and we continue to do what we can to support humanitarian efforts. I will now start by providing some recent financial and operating highlights, discuss a few areas where Olink is driving the science of Proteomics, then I'll wrap up things by quickly discussing our outlook for the remainder of 2022. I'll then turn over the call to Oskar to provide more financial details. During the first quarter of 2022, Olink continued to execute and build on its considerable progress from last year. We remain confident in achieving another year of strong growth with further accomplishments in the past growing next-gen proteomics industry that promises to reshape drug research and development and human health. We're pleased to have delivered total revenue of US$22.7 million, representing 66% growth over the first quarter of 2021. Cumulative Explore installations during the first quarter reached 27%, and we delivered 9 additional Signature instruments to customers as well. These were in line with our plan and consistent with expected seasonality given customer buying patterns. The net impact of the pandemic environment was largely as we anticipated during Q1, and we continue to remain vigilant as our customers to navigate the COVID impact on their work. Explore represented 69% of our total revenue in the latest quarter. Total Kit revenue was $4 million, up 41% over Q1 2021. While service revenue totaled $16.6 million, up 74% compared to Q1 2021. Total Kits revenue represented 18% of total revenue in Q1 2022, consistent with our internal plan. It was just about a year ago that Explore kits were launched. And on a trailing 12-month basis, Explore kits represented 29% of total Explore revenue and 19% of total revenue. Generally speaking, initial pull-through with Explore kits has come in towards the high end of our internal expectations. And during the first quarter of 2022, Target kits became a more substantial growth driver due to the recent launch of Signature. Overall, we remain confident in the continued shift of our revenues from services to kits with our 2022 outlook supported by the performance of the first quarter. As we've discussed, the first quarter is traditionally owning lowest revenue quarter of the year given the procurement and budgeting cycles of many of our customers, including government or grant funding customers, academic customers and biopharma customers. However, our underlying business momentum in Explore, Target and Focus remained very strong in Q1 and as we have entered Q2. Explore continues to benefit from strong pull-through and continued uptake of our new Explore 3K kit. We remain on track to expand to 4,500 protein biomarker targets late this year, and we'll continue to aggressively build out our library of antibodies as long as our customers tells us to do so to drive their clinical and diagnostic research efforts. We're also committed to making our Explore line of products as accessible as possible. In line with this ambition, we're collaborating with multiple partners to enable Explore on several of the new sequencing instruments entering the market. This effort will translate into increased flexibility as customer will be able to choose from a menu of detection platform alternatives. Olink also continues to expand its reach within the low and mid-plex proteomics market with Signature, which began deliveries to customers late last year. The ability of Olink's product platform to address multiple use cases as the same customer is becoming more and more clear with multiple Signature customers also being Explore users. Our downstream efforts toward diagnostic application continues. In February, our partner, Octave Bioscience had a significant presence at the ACTRIMS meeting in West Palm Beach, Florida, with multiple poster presentations highlighting the utility of the MFDA protein Signature derived with Olink's PA technology, including this Signature's relationship with MF disease activity and progression. We believe ACTRIMS also showcased the very diligent analytical and clinical validation steps Octave have performed with the MFDA test. Octave is preparing plans for early use of the MF disease activity test in select – in multiple sclerosis centers over the course of the year. Olink continues to prioritize collaborating with customers and thought leaders to advance the field of Proteomics. We're truly excited to be part of the ongoing groundbreaking scientific discovery effort with the U.K. Biobank project, and we continue to deepen relationship with the 13 pioneering biopharma members. As we previously discussed, by the end of last year, we delivered 56,000 samples to U.K. Biobank consortium. And in 2022, we began running the expansion phase on the Explore 3072 platform. When data from this research is published later this year, it will be published using Olink unit of expression, NPX or Normalized Protein expression, providing Olink a unique opportunity to help define the language of next-generation proteomics. We believe the U.K. Biobank project will be the most comprehensive data sets available to aid the research and discovery efforts for clinical and diagnostic solutions. Today, Olink is part of several consortium exploring the role of protein biomarkers. The U.K. Biobank, of course, SCALLOP, which is a proteogenomics effort for disease orders like coronary artery disease, rheumatoid arthritis, bipolar disease, heart failure, dementias or metabolic syndrome. CORAL for neurological conditions and COLLIBRI for inflammatory bowel disease. And beyond these, we see significant excitement across many large and strategic cohorts around the world. We see continued - we are executing against the opportunity to deepen our strategic relationships across the industry. Olink is well positioned to be a key contributor in proteins and multiomic studies given our product platform and service capabilities. The foundation of rolling success is science. And there are more than 860 studies published to date describing the use of PEA conducted by thousands of researchers across the globe, covering every major therapeutic category. These studies highlight Olink's clinical impact, and we thought it would be helpful to share two of them today. A recent study published in circulation by a team from University College of London, along with the cardiovascular thought leaders, including Professor Faiz Sanap  from Linamars  Consortium and Anders Mälarstig from SCALLOP, supports the role of PQTL in identifying relevant and novel protein drug targets. The study investigated the role of 90 cardiovascular proteins in heart failure that were derived from 3019 participants with 732 heart failure events. The effects of this heart failure associated proteins were then investigated using TLL data generating from those geno-wide association studies in over 30,000 individuals. The findings were striking. 44 of the 19 proteins were positively associated with the risk - of incident heart failure, with 8 of these 4 proteins showing evidence of cost  of association with heart failure. Two of the associated proteins have already been targeting ongoing early clinical trials to provide biological validation for these findings and 5 of the remaining 6 are classified as tangible genes according to public databases. Another publication from the University of Mississippi used publicly available own data from the Mass General Hospital, longitudinal COVID-19 study to understand the frequently seen link between COVID-19 and cardiovascular implications. As a background, Olink had previously joined forces with MGH to quantify the abundance of over 1,400 proteins in plasma of patients from a cohort of 306 COVID-19 patients and 78 not virus negative patients. What the authors found were clear associations between different types of immune system T-cell pathways and the levels of important cardiometabolic proteins, potentially explaining the cardiovascular complications associated with severe systematic inflammation in COVID-19 patients. These are just two recent examples of how Olink is helping inform the role of protein in disease and further downstream actionability. The studies represent just the latest data points in the expanding body of evidence that speaks to the importance of Proteomics and the quality of the data of the Olink platform. More importantly, it supports the sentiment shared by many of our customers in their real-world experience as well. Operationally, we continued to strengthen Olink's already considerable talent pool. We started the year with 416 employees and reached 465 toward the end of the first quarter, including 163 full-time entries in the commercial team. In April, we appointed two new independent board members to our Board of Directors. Mary Reumuth, and CFO of Kala Pharmaceuticals and Bob Schueren, COO of Natera. Both Bob and Mary have considerable experience and expertise, and we welcome their contributions in helping shape the future of our company. Additionally, in March, we were excited to publish our inaugural sustainability report, which can be found on our Investor Relations website. The report outlines Olink's contribution to improving global health, including early progress with our partner, Octave Bioscience in MS. We look forward to further refining our sustainability principles over time and to fulfilling our promise to science and society for the better future for generations to come. Turning to our expectations. We are maintaining our 2022 revenue guidance range of US$138 million to US$145 million, and Oskar will go into more detail in a bit. Beyond this year and over the long term, we remain very optimistic about both strategic and financial outlook. In summary, we remain confident in our ability to execute, expand and lead the largely untapped next-gen proteomics market. There are exciting things happening at Olink. I will now turn the call over to Oskar to discuss our financial results. Oskar?
Oskar Hjelm: Thanks, Jon, and hello, everyone. First quarter revenue totaled $22.7 million, very growth of 66% year-over-year, which included immaterial FX headwinds. Revenue growth was led by services, which was largely in line with our expectations and driven by buying activity broadly across our customer base with average project spend of roughly 50% of the average Q4 project spend. Driven by continued investment in line with our strategic plan, adjusted EBITDA was negative $9.1 million for the first quarter of 2020, as compared to negative $3.7 million for the first quarter of 2021. As Jon mentioned, at the end of Q1, we had 27 externally placed revenue-generating Explore installations, which achieved roughly 700 in average customer pull-through during the 12 months ended March 31, 2022. We are satisfied with this level approved through after  grabbing the kits on the market for just about a year. During our early experience with Explore, we've seen the average annual growth range from $500 to $750,000 with the individual spend ranging from less than $100,000 to multimillion-dollar orders. We continue to expect variability in quarter-to-quarter pull-through, which will be further impacted by our customer spending seasonality. Kits revenue for the first quarter of 2022 grew 41% to $4 million or 18% of total revenue, as compared to $2.8 million for the first quarter of 2021 or 21% of total revenue. Explore continued to be the most significant component of kits revenue. Thought Target - Target kits contributed more meaningfully given the recent launch of Signature. Analysis services revenue for the first quarter of 2022 grew 74% to $16.6 million or 73% of total revenue, as compared to $9.6 million for the first quarter of 2021 or 70% of total revenue. The mix of kits versus analysis service revenue was in line with our expectations, and Olink continues to expect progress throughout the remainder of 2022 and beyond in increasing the mix towards kits. Other revenue was $2.1 million for the first quarter of 2020  as compared to $1.2 million for the first quarter of 2021. Other revenue growth was driven primarily by the sale of Signature Instruments. By geography, revenue during the first quarter of 2022 was $9.7 million in Americas, $10.1 million in EMEA and $2.8 million in China and rest of the world. Consolidated adjusted gross profit was $14.2 million or 63% of revenue in the first quarter of 2022 versus $9.2 million or 68% in the first quarter of 2021. And by segment, adjusted gross profit margin for kits was 89% in Q1 2022, as compared to 82% in Q1 of 2021. Q1 2022 adjusted gross profit for Analysis Services was 58% as compared to 64% in Q1 2021. The decline in Analysis Service margin was driven primarily by our continued build-out of lab capacity. We continue to expect service model to revert to the normalized levels that we've observed historically in the second half of this year. As we consider total COGS, we expect our strategy of increasing kit revenues as a percentage of total revenues will have a positive impact on gross margins over the long term and quarter-to-quarter variations are to be expected given the seasonality of our business and our ongoing product launches. Furthermore, the introduction of Explore 3072 should provide support for margin expansion over time, leveraging our internally built antibody library. Adjusted gross profit margin for Other was 47% in Q1 2022, as compared to 62% for the first quarter of 2021. The decline in Other gross profit margin was primarily related to the sale of Signature Q100 Instruments. Total operating expenses for the first quarter of 2022 were $29.5 million, as compared to $22.4 million for the first quarter of 2021. The increase was largely due to continued and accelerated investment in the Olink commercial organization and research and development and driven by additional costs as a public company. Operating expenses are broken out as follows. Selling expenses for Q1 2022 were $9.5 million versus $5.7 million for Q1 2021. Administrative expenses for Q1 2022 were $14.4 million versus $12.4 million for Q1 2021, and R&D totaled $6 million and $4.2 million for Q1 '22 and Q1 '21, respectively. Other operating income was $328,000 in the quarter as compared to other operating loss of $105,000 in Q1 2021. Net loss for the first quarter of 2022 was $12.2 million, as compared to a net loss of $14.3 million for the first quarter of 2021. Net loss per share for the first quarter of 2022 was $0.10 based on a weighted average number of outstanding shares of 119,010,097 million  as compared to a net loss per share of $0.48 for the first quarter of 2021 based on a weighted average number of outstanding shares of 38,926,170 shares. Driven by the conversion of receivables recorded during our seasonally strong Q4, we generated $2 million of cash during Q1, ending the quarter with a strong balance of $120.2 million in cash and cash equivalents. While Olink has yet - not yet turned the corner in generating sustainable positive cash flow, we believe our cash conversion during Q1 shows the ability to responsibly balance the investment needs with the efficient use of capital. And consequently, Olink remains sufficiently capitalized to achieve our return to profitability and to fund our existing strategic plan. Moving to our outlook for 2022. We are pleased with our performance for the first quarter, which delivered according to plan, and we are maintaining our 2022 revenue guidance range of $138 million to $145 million. As we previously indicated, revenue should be weighted to the second half of the year and fourth quarter specifically. The guidance also anticipates the pandemic environment similar to what we've experienced to date and the impact of the geopolitical environment remains non-material overall. As we consider longer-term horizons, we believe we remain well positioned for continued strong growth beyond 2022 as well. I'll now turn the call over to Jon for his concluding remarks.
Jon Heimer: Thank you very much, Oskar. The first quarter of 2022 marked another period of strong execution for Olink. We continue to grow our leadership position and are benefiting from robust adoption across our entire portfolio of products and services, selling into a broad, diversified and growing customer base across the proteomics plex spectrum. Looking forward into the remainder of 2022 and beyond, the Olink team remains committed to executing against our strategic and financial goals. At this point, we will open up the call for questions. Operator?
Operator: Thank you. And our first question comes from the line of Matt Sykes with Goldman Sachs. Your line is open. Please go ahead.
Matt Sykes: Hi. Good morning, Jon and Oscar. Thanks for taking my questions. Maybe the first one just to dig into the kit revenue in the quarter, understanding the seasonality of the two incremental installations that you saw this quarter, how much of that is seasonality versus difficult operating environment? And it sounds like it's in line with your expectations. But how should we think about kit revenue as we progress through the year?
Jon Heimer: Yeah. Good morning, Matt, thanks for your good question. Yeah. I consider this based to how we see our market and customer base are sort of running their business. So think about Q4 seasonal, a lot of kit purchases stocking up a bit. So in our experience throughout we - when we kick the company off, we've seen Q1 being our slowest quarter, and that also goes to kit. But overall, this was a very, very strong quarter for us. And as we look into the remainder of the year, we remain very confident on the numbers that we've talked to you about, the split between kits and services and the ramp of the external installations and so forth. So Matt, we feel very, very good that where we're sitting. This was just as we have seen it played out over the years and what we planned for and perhaps a little bit better than we had anticipated, and we remain you know, very solid look for this quarter and the remainder of the year.
Matt Sykes: Got it. Thanks for that Jon. And then just on - I assume that there's some level of conversion from Analysis Service customers to externalization. Is the operating environment and the difficulty of that keeping customers in Analysis Services longer? Or is that not necessarily a dynamic we should focus on?
Jon Heimer: No, I don't think you should focus on that. We try to be very careful and thoughtful about everything we do. And it's - the capacity that we have generated in the market for these external labs and what they can cater is a very significant number now supporting researches around the world. So as you know, we talked about doing this in a diligent, careful way, focusing on quality, which is extremely important. So this is yet again going exactly of how we, in a careful, considered way, switching our business from a people  service to kit business model and taking all of those factors into consideration. So yet again, exactly as planned, very - feel very good about where we're at and we looking to the remainder of the year, looking at our pipeline, looking at the excitement of being in some discussions we're having. So we are very good at that.
Matt Sykes: Great, thanks. And just one last question for me. Just maybe an update on your progress with Agrisera. Just given the importance of that vertical integration and reducing maybe some of the license fees you might pay, how is that progressing? And any kind of time line on how that can be better vertically integrated over time?
Jon Heimer: Thanks, Matt. That's a good question. Getting to the science a bit. Yeah, no, I mean, I mean I've seen a few M&As in my career, but I don't think I've seen a successful one as this one. Agrisera is an amazing team of people and leadership and science and technology. So we are going from clarity to clarity. We have very high expectations as we bought Agrisera a few years back. But we have delivered or they have delivered above and beyond those expectations. We are improving how - we're learning a lot about the processes of improving everything from antigen to purification of the antibodies and are really increasing our, what we say, hit rates on the targets that we are generating. So we are actually expanding efforts at Agrisera and moving and transferring some of the upstream R&D efforts that we're doing with an Olink to further take advantage of the great competence and skill set we see within Agrisera to actually expand and accelerate further than we had anticipated as we acquired them. So yeah, it couldn't be better, excellent.
Matt Sykes: Great. Thanks very much.
Jon Heimer: Thanks, Matt.
Operator: Thank you. And our next question is back to the line of Puneet Souda with SVB Securities. Your line is open. Please go ahead.
Puneet Souda: Yeah. Hi, Jon, Oskar. Thanks for the questions. So first one is on the guide. I appreciate that the seasonality is there. And obviously, that is - I think that is now understood well versus earlier days when you - when the company came to the public markets. But maybe just help us understand the mix of service versus kits, how should we think about that sort of through the year? How should we think about the cadence there? Because obviously, services came in stronger this quarter, and - but you had only two installs on the Explore end. So maybe just talk to us how the Explore installs are ongoing, if there was any impact in January from Omicron from in terms of getting into those labs? And how should we think about the Explorer sort of mix sort of ramping up through the year? Because I think, obviously, that's an important key driver for Olink's expansion.
Jon Heimer: Yeah. Good morning and thank you very much, Puneet. Yes, as kind of I alluded to a bit in Matt's question as well. First of all, I don't think - I mean Omicron impacted much of anything actually of our business in the first quarter. We're obviously keeping a careful eye on that. But I think we showed during '21 and also the first quarter here that we have taken the appropriate measures and so I feel on top of that situation for now. And we have a very careful and considered plan on how we switch our business from a vast majority of people service into kits. And quality is a very important aspect of what we do, and I hope also everyone sort of starting to recognize and appreciate how important that is to support the highest standard of science. So that - these external Explore labs are executing and delivering only data to external customers on the same high-quality manner that we do is integral to our whole strategy. And I would definitely not emphasize only two rather that we now expanded with two fantastic new Explore partners onto the market. And that we - this market is growing very rapidly. We see a lot of excitement and interest in sort of moving into the next omic  and really going into proteomics in ways that this market hasn't done in the past. So all of those factors are really playing out in a very positive way. But it doesn't happen overnight. So hence, we feel very good. This is exactly sort of how we have laid our plans for the year. And going back to your seasonality question. This is a very strong first quarter, the strongest one ever in our history as a company. And we also see the seasonality, as I said, in kits. So kits, if you have some year-end money available, that's a very easy way to spend and sort of stock up a bit and hence, kits are usually lighter in the first quarter. Obviously, we had planned as well. And hence, as we look at our pipeline, the discussions we're having, I think we feel rather we feel very good. So it's sort of basically stay tuned, and we will continue to deliver.
Puneet Souda: Okay. That's great. And then on U.K. Biobank, could you elaborate what's left there? And how should we think about that in the second quarter? And also related to second quarter, we're obviously hearing from a number of tools companies in terms of the China impact. How should we think about that impact in the sort of the second quarter?
Jon Heimer: Yes, starting with U.K. Biobank, super exciting, of course. So the expansion phase, we basically ran sort of half of that project completed by now. We did not take any revenues from that in the first quarter. We will deliver our next data set in June and there will be revenue recognition of that delivery. And we will plan to wrap the whole project up over summer. So we are executing in that exactly according to plan as well. So super exciting and all good. On the China situation, yeah, we had a strong quarter actually in APAC in Q1. Obviously, our colleagues now unfortunately, are locked in at home and then obviously, a more difficult environment to work from. But also keep in mind that APAC in general and China in particular, are still a relatively small piece of our business. So if you look at the overall picture, we don't – we're not worried at all. But I wouldn't expect tremendous revenues from China, in particular, in the second quarter.
Puneet Souda: All right, good. Okay, thank you.
Jon Heimer: Thank you.
Operator: Thank you. And our next question comes from the line of Tejas Savant with Morgan Stanley. Your line is open. Please go ahead.
Tejas Savant: Hey, guys, good morning. So Jon, I just want to follow up on the comment you made on U.K. Biobank here just to make sure I heard that right. Did you say you had no U.K. Biobank revenues in the first quarter? And then if that is so, I mean, at least relative to our model, you did about $7 million better on Analysis Service actually in the first quarter, which implies given the unchanged guide that there's a bit of a significant U-shape, even more pronounced than we had initially at the start of the year. So could you just walk us through the moving pieces there as you think about the evolution of that phasing through the year?
Jon Heimer: Sure. Good morning, Tejas, good to have you here, as always. Yeah. So you're correct. We have no U.K. Biobank revenues in the first quarter of this year. So as you know, right, we recognize revenue when we deliver either data or reagent kits. So we did not deliver any data. So we have a milestone-based approach with the U.K. Biobank consortium and sort of a set schedule. So next delivery will come up here shortly and then we will recognize revenues for the second quarter, but not in Q1. And yes, we see a very exciting market. We see a lot of interest in proteomics and in particular, around the leading owing platform. So researchers are definitely shifting towards proteomics and where we have definitely a market leadership and are in a leading position. So hence, new customers often come aboard as Analysis Service. And hence, we are winning out there. People are expanding and moving into proteomics and hence, we are growing rapidly as a company. So - but we have a very careful - we have a very clear strategy, which we're also carefully implementing, as I alluded to in the previous questions, in terms of how to convert that business into a product business, which we are implementing month-over-month, quarter-over-quarter, very diligently and continue to deliver upon. So yes, I agree. It was a very strong quarter, and it was weighted towards Analysis Service in - which was within our expectations and how we've seen over the years have played out as well. So hopefully, that addresses your question. It's a great opportunity, great market. Olink is a leading platform and a lot of excitement all around. So just stay tuned on we will continue to deliver this year and according to the plan that we communicated and expansion towards kits.
Tejas Savant: Got it. That's helpful, Jon. And then any color you can share around the early traction for 3K. And then as you think about expanding that library to about 4,500 targets, is there a chance here that we could see you sort of just leap out that step and launch an even sort of broader panel towards year-end or perhaps early next year?
Jon Heimer: Yeah. Thanks, Tejas. Yeah, there are a lot of excitement around the 3K product for sure. As we alluded to in prior earnings calls, we should all maybe just take a step back sometimes and remember that Olink has driven protein research to a scale where it's never been before with the highest standard of quality where you're basically doing single plex protein research in massive parallel scale in unparalleled throughput. So the whole academic and industry research markets are very excited about this. And those are sort of the facts that are driving the trends that I've been speaking to here today about how proteomics it now for the first time ever at scale and quality, driving researches towards proteomics, closer to the phenotype with impactful results for science. So yeah, I mean, we've been super good about that and are very happy with where we are at. So did that answer your question?
Tejas Savant: Sure. And then a quick one for Oskar on FX. I mean also, could you just update us on what's the revised FX assumption that you're embedding into your forecast? Or is it the same as at the start of the year?
Oskar Hjelm: Yes. So I think as we sort of discussed, we view our guidance as largely organic. And I think sort of the minor sort of headwind we saw in Q1, we're comfortable we can sort of execute through the year based on sort of current rates within that guided range.
Tejas Savant: Got it. Okay. And then I want to go back to your comments on cash burn here. But could you just walk us through - I know you mentioned you're sort of sufficiently capitalized to return to profitability. But as you think about the outlook for this year, what's your sort of anticipated cash burn given all the investments, et cetera, that you're making here? And then as you think about perhaps extending that runway out to bake in some incremental cushion, this is a question we get a lot, given the capital markets environment here. Any color on that would be helpful.
Oskar Hjelm: Yeah. No. So I mean, we - as I think we've discussed previously, we expect to run through cash for . It's sort of in line with what we did for 2021. But then leveraging the sort of the strong platform that we have and return to profitability through cash - cash flow generation over the next couple of years and using some of the existing cash on hand that we have.
Tejas Savant: Got it. Very helpful. Thank you, guys.
Oskar Hjelm: Thanks, Tejas.
Operator: Thank you. And I'm showing no further questions at this time. And I would like to turn the conference back over to CEO, Jon Heimer, for any further remarks.
Jon Heimer: Okay. Thank you very much, team, for joining us today and for your continued interest in Olink. We look forward to keeping you updated on our progress. So have a great day, everyone. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.